Operator: Ladies and gentlemen, welcome to the Albemarle Corporation Q4 2022 Earnings Call. My name is Glenn, and I’ll be the moderator for today's call. [Operator Instructions] I will now hand you over to your host, Meredith Bandy, Vice President of Investor Relations and Sustainability. Meredith, please go ahead.
Meredith Bandy: All right. Thank you, Glenn, and welcome, everyone, to Albemarle's fourth quarter and full year 2022 earnings conference call. Our earnings were released after the close of market yesterday, and you will find the press release and earnings presentation posted to our website under the Investors section at albemarle.com. Joining me on the call today are Kent Masters, Chief Executive Officer and Scott Tozier, Chief Financial Officer, Raphael Crawford, President of Ketjen; Netha Johnson, President of Specialties; and Eric Norris, President of Energy Storage are also available for Q&A. I'll note that today's call will be limited to 30 minutes shorter than our usual quarterly updates since we just held an in-depth update about three weeks ago. The replay of that webcast is available on our website. As a reminder, some of the statements made during this call, including our outlook, guidance, expected company performance and timing of the expansion projects may constitute forward-looking statements. Please note the cautionary language about forward-looking statements contained in our press release and earnings presentation that same language applies to this call. I'll also note that some of our comments today refer to non-GAAP financial measures. A reconciliation to GAAP financial measures can be found in our earnings release and the appendix of our earnings presentation. With that, I'll turn the call over to Ken.
Kent Masters: Thanks, Meredith. Good morning, and thank you for joining us today. I'll start by highlighting that our fourth quarter results were exceptional with close to triple the net sales from the same period in 2021 and adjusted EBITDA up more than 400% year-over-year. And while rising lithium pricing contributed to these results, we also saw significant increased volume growth. Scott will go into the financial details for the quarter and the year. We are confident in our assessment of the market opportunity for our essential elements and equally confident of our ability to seize that opportunity. We anticipate net sales growth of 55% to 75% for 2023. Our strategy is not just to maintain but to build on our global leadership in both Energy Storage and Specialties, and we continue to invest in both capacity and innovation to make that happen. And now I'll turn it over to Scott for details.
Scott Tozier: Great. Thanks, Kent, and good morning, everyone. Let's start on slide 5 to quickly review the fourth quarter 2022 performance. Net sales for the fourth quarter closed at approximately $2.6 billion, up 193% from last year, driven primarily by our Lithium segment, but we saw increases in bromine as well. Net income attributable to Albemarle was $1.1 billion for the fourth quarter. Diluted EPS for the fourth quarter was $9.60, which was a record for Albemarle. In fact, it easily beat our previous full year EPS record of $6.34 back in 2018. Turning to slide 6. Fourth quarter adjusted EBITDA was over $1.2 billion, up almost 5.5 times year-over-year. This $1 billion increase was primarily driven by higher lithium prices and increased volumes. As you can see on the slide, this high quarterly results also contributed heavily to our full year increase in adjusted EBITDA of nearly 300%. Our Bromine segment was up slightly. And as expected, our Catalyst segment came in lower in the quarter as higher sales volumes and favorable pricing were offset by a plant shutdown due to the winter freeze in Texas in December. Full year 2023 guidance is unchanged from our strategic update in January. We continue to expect strong sequential sales growth in 2023. And remember, we have assumed flat year-end 2022 lithium pricing throughout 2023. We expect our adjusted EBITDA to be approximately 20% to 45% higher than 2022, with positive trends in all three businesses. Additionally, we expect net cash from operations to rise between 10% and 25% over 2022. And this means we expect to remain free cash flow positive this year even after increasing our growth investments. On slide 8, we expect to see net sales increase sequentially quarter-to-quarter, as our volumes ramp up. We project that our adjusted EBITDA will be evenly split between the first and second halves of the year. And as a result, we anticipate that margin rates will moderate as we progress through the year, and I'll come back to that in a moment. All three of our business segments are looking at healthy growth rates during the year reiterating what we detailed in our January event. Since our webcast in January, a lot of the questions we've gotten are around margins and capital expenditures. So I'll provide some additional color and time on those two items, and then Kent will provide a market update. So let's turn to slide 9. Energy Storage EBITDA margins were 65% in 2022. And then in 2023, a lower impact of spodumene inventory, and increased impact of our JVs is expected to normalize our 2023 margins to around 46% to 47%. Most of that roughly 20 percentage point decline is due to spodumene inventory lags. It takes about six months for spodumene to go from our mines through conversion to our customers. Last year, we saw dramatic increases in pricing for lithium and spodumene. And due to that time lag on spodumene inventory, we realized higher lithium pricing from our customers faster than higher spodumene costs. And as a result, we had unusually strong margins in 2022, particularly in the second half. The next item affecting margins is the accounting treatment of the MARBL joint venture. We expect to report 100% of net sales, but only our share of EBITDA, resulting in a lower reported margin on that portion of the business. As this joint venture continues to ramp up, this accounting impact will increase. We are in active discussions with our partner about restructuring the MARBL joint venture and expect to have news on this soon. Finally, our EBITDA margins are impacted by tax expense at our Talison joint venture. Talison income is included in our EBITDA on an after-tax basis. If you adjust Talison results to exclude this, margins would be about 8% to 10% higher in 2023. Let's turn to our capital expenditures outlook on slide 10. We are investing with three goals in mind. First, to add conversion capacity and remain vertically integrated; second, to invest in new product technology to support battery advances; and third, to build and maintain our world-class resource base. To meet these goals, we expect capital investment to increase from about $1.7 billion to $1.9 billion in 2023 to about $4 billion to $4.4 billion in 2027. About half the increase in capital expense relates to geographic diversification to support customer demand for regional lithium conversion and supply. In 2023, we're investing in our conversion capacity in Meishan in Qinzhou. And as the EV market develops in other parts of the world, we will continue to invest. For example, we are planning investments in North America and Europe, where we estimate capital intensity to be more than double. Second, by mid-decade, we expect to invest more in technology to produce advanced energy storage materials for next-generation batteries. And lastly, we expect to invest in additional resource development. Across our capital spending, about 5% is linked to sustainability, including improvements to new and existing facilities. These investments are expected to generate strong returns, allowing us to continue to invest to support our customers while generating significant free cash flow. With that, I'll turn it over to Kent for a brief market update and closing remarks.
Kent Masters: Okay. Thanks, Scott. As China reopens, we expect moderation in EV demand to be short-lived with medium and long-term demand remaining robust. We continue to expect EV sales in China to grow 40% year-over-year, an increase of nearly 3 million vehicles. As you can see in the chart on the right, sales in China are seasonally weak around the Lunar New Year. We believe the latest phasing out of subsidies will have limited impact on demand. EV subsidies have rolled off on schedule since 2013 with only brief declines in sales, continued municipal incentives and consumer preferences support a strong demand outlook for EVs. Our contract customers are not slowing down their ordering patterns and early indications are both that cathode inventory and battery inventory in China are decreasing, which is a good sign for lithium sales. We're listening to our customers, and we'll be watching the data, so we'll continue to adjust our expectation as the year progresses. Our biggest challenge is managing the tremendous growth opportunity that is in front of us. We are leveraging our durable competitive advantages like our world-class resources, our global asset portfolio and technical know-how to continue to grow. And we are being absolutely disciplined about how we build our leadership position, particularly when it comes to scaling lithium production and conversion. We intend to accelerate growth profitably and in ways that align with customer needs. We are confident that electrification will continue to be a primary pathway toward a clean energy future, but we also recognize that the future for Albemarle is built on more than electric vehicles and done more than just our production capacity. As we said in our strategic update, our strength in transforming resources into essential elements give us outstanding leadership opportunities in four key areas: mobility, energy, connectivity and health. We know that customer-focused innovations and sustainability are as essential to our future as our resource capacity as we work to fulfill our purpose of enabling a more resilient world. So, now we'll move to Q&A. And Glenn, you're going to moderate that.
Operator: Thank you. [Operator Instructions] Our first question comes from P.J. Juvekar from Citi P.J., your line is now open.
P.J. Juvekar: Yes. Hi, good morning everyone. Just a long-term question. As you get ready for Kings Mountain site to potentially restart in, let's say, four or five years, I know you're doing a lot of community outreach and engagement today. But can you lay out for us the milestones in terms of permitting process. And after the IRA, do you think the process has gotten any easier? Thank you.
Kent Masters: Okay. So, all right, interesting. So, I mean we are doing a lot of community outreach. It's not so much about the permitting process. It's just kind of how we're doing business when we go about a project like this. So, -- and we expect to continue to do that throughout the life of the mine as we do that and other mines and other sites as well. So, we're just -- we're changing a little bit how we do that, learning from some of the success that we've had in Lithium business, and we apply that to our other sites as well, whether we're mining there or not. But we'll continue to see that outreach. On the -- has the permitting process gotten easier since the IRA, I think there's a tension on it. We are hopeful that it may be a little bit easier and streamlined, but I can't -- we can't say that it's gotten that way yet. That's my view. And then some of the milestones in permitting, Eric, do you want to comment on that?
Eric Norris: I guess, P.J., good morning. I think that the first step would be permitting towards the latter as beginning to apply for permitting towards the latter half of this year. We've been in feasibility work on environmental side and sustainability side to prepare for that permit. And we have a permitting strategy that can get all the details on here, but I'd say leverage is the fact that it's a brownfield site. So, we're optimistic that even though there's -- as Kent said, there's tension and attention on the permitting process that this particular mine, given its brownfield history, we'll have hopefully a rapid review. So, we'll continue to monitor that closely and update you accordingly.
Kent Masters: Yes. But even though we're not -- we're filing for permits this year, we've been doing work on gathering data for that process for almost two years, I think, I'm not exactly sure how long, but for quite some time, the data that's necessary for those permits, the history around everything that you have to report on to get the permits. So, it's a process that takes a little time. And even though we haven't formally filed yet, we've been working on that for a couple of years.
P.J. Juvekar: Thank you. I'll pass it along.
Operator: Thank you, P.J. Your next question comes from David Begleiter from Deutsche Bank. David, your line is now open.
David Begleiter: Thank you. Good morning. Eric, just on lithium spot price in China, it's not a major focus of ours. We have seen continued softening over the last few weeks. What do you make of that?
Eric Norris: David, I would say it has a lot to do with what Kent described in his remarks. We've come off out of a period of time in 2022 of remarkable growth, that exceeded expectations in terms of EV production and was going at a pretty heady pace when the decision was taken to reopen the economy and then -- and of course, you know what happened thereafter. I mean the virus spread quite rapidly, and it did staff consumer demand at a time when seasonally, it was weak anyway because of the Lunar New Year. I think there's much been made about the subsidies as well rolling off, but those have been rolling off for several years. Some of them have been extended at the provincial level, and some of the more meaningful subsidies are at the state and local level anyway. So we don't think that, that's a big issue, and we've certainly seen that in prior years have initially a spike in demand immediately before the subsidy comes off, a drop in demand right after it comes off and then a rebound in demand. Our projection and our customers' view is that this year, particularly in the second half, we'll see that growth that's projected of close to 40%. In the meantime, people are buying under contracts, but not venturing into the spot market and bringing their -- in China, bringing their inventories down quite low, because we're in this post-holiday period with still some uncertainty in the very near term. We expect that to be short-lived though with the demand rebound later this year.
David Begleiter : Very helpful. And Scott, just on the full year guidance, thank you for the first half, second half split. Any further thoughts on the Q1 versus Q2 split in EBITDA?
Scott Tozier : Yes, I would expect that Q1 would be stronger than the second quarter. Again, it's really driven by that inventory lag that we're seeing ultimately as well as the strong prices in the fourth quarter that carry into the first quarter, ultimately. So, ultimately, I think the first quarter is a bit stronger than the second quarter.
David Begleiter : Excellent. Thank you very much.
Operator: Thank you, David. We have our next question comes from Jeff Zekauskas from JPMorgan. Jeff, your line is now open.
Jeff Zekauskas : Thanks very much. If lithium prices remain flat in 2023, is it the case that your equity income from Talison would remain at that 332 [ph] level all the way through 2023? And is Talison making as much spodumene as it can make or is there room for it to move up in 2023 and 2024?
Scott Tozier : Yes, I'll take the equity income question and maybe, Eric, you can take the production question. So we'd expect -- if lithium prices stay flat, we'd actually expect the equity income out of Talison to increase. If you remember, the transfer price out of Talison is on a, at least historically been on a six-month lag. It's now shifted to a three-month lag. And so that -- the increases that have happened last year will start to flow through in the first half of 2023. So I'd expect it to be higher. Eric, do you want to talk about production?
Eric Norris: Yes. And Jeff, with regard to production, you may know that CGP1, the first line has been running for years now is at max rates. CGP2 came on in the recent past and is ramping a ramp last year. There is possible -- possibility for that to run it slightly, I mean, the upside would be it can run at a slightly better rates. It's not -- there's some productivity in the bottlenecking activities to make that could result in that, although it is running close to capacity. And then there's additional from the tailings reprocess lithium that's being added. So it's higher year-on-year, and there's potential for be slightly higher if those productivity initiatives are successful.
Jeff Zekauskas : Okay. Great. And you spoke of your first half and second half lithium EBITDA as being comparable. Given that there's so much more production coming out of Chile. Why would that be the case? Shouldn't your volumes be stronger in the second half of 2023?
Scott Tozier: Yes. They'll definitely be stronger. It will be on the basis of the production out of Chile, but also the ramping up of lodging and the conversion there. And then the additional volume that Eric just talked about with Talison. Of course, prices are up, but we're assuming prices flat throughout the year based off of how we exited 2022. And then you have got to layer on the cost impacts that I talked about on the call. So you've got the spodumene inventory lag that corrects itself this year. You've got as Wodgina ramps up, you have a margin rate impact there that just due to the fact that we report a 100% of the revenue and only half of the EBITDA.
Jeff Zekauskas: Okay. Great. Thank you so much.
Operator: Thank you, Jeff. With our next question comes from Stephen Richardson from Evercore ISI. Stephen, your line is now open.
Stephen Richardson: Hi. Good morning. I was wondering if you could dig in a little bit on the European strategy. It seems clearly, in China, you've acquired and built conversion capacity. And in the US, it looks like things are really centered at Kings Mountain. Could you talk a little bit about Europe in terms of how you're thinking about how this evolves? I know it's early, but -- is this an area where we would see you bring material from either Chile or Western Australia? And then do you envision yourself partnering or doing more of a greenfield as it comes to supplying on the continent?
Kent Masters: So I'll start with that. Eric can fill in a little bit. So I think you're -- I mean, you answered part of the question. So -- we're moving from China. North America. We've got -- we have resource strategy and a program for North America, we're investing there and we'll be a similar program in Europe. We don't have the resource base in Europe that we have in North America. So we'd like it to be a combination of some local resource, which we don't have at the moment, and then bringing some -- bringing resource in, in some form. And that's most likely going to be from Chile and Western Australia, because it's where the big resource bases are at the moment. And we just got to work out the strategy of how we bring that in the most economically and the most sustainable way that we can, and that's going to be about the strategy with the assets that we put on the ground in Australia. Eric, can talk about partnering.
Eric Norris: Yes. So Stephen, it would be a greenfield site as there really are no brownfield sites for such capacity in Europe today. And we've gone through a site selection process and looked at numerous countries and haven't drawn that down close enough yet to make an announcement or to say anything publicly further about it. But that being said, it would be a plant that would be modeled very intentionally after what we've done here in North America or we want to do in North America, I should say -- around a plant that is able to process a variety of different feedstocks. I can't mention Chile. That would be a carbonate feed or spodumene or derivative of spodumene coming from Australia into Europe and also having the ability to have recycling. We very much view that kind of strategy being one that has an opportunity for a partner, whether that be an OEM or other producers in the battery supply chain in the region. And we don't have anything further we can say about that, but that's an effort that remains underway in terms of how we might partner to bring about that closed loop process in addition to the sort of the virgin lithium production we intend to put on the continent.
Stephen Richardson: Appreciate the color. Thanks. If I could just put in one follow-up, I appreciate the comments off the top in terms of the CapEx outlook. One of the questions that we fielded on this is it's clear that your – this CapEx outlook is a function of looking at the current environment or I think you used year-end 2022 environment for pricing going forward. So important to realize that you're not obligated to spend this $4.4 billion in 2017. I guess, the one point of clarification is, is that a peak for CapEx based on the Project Q that you're looking at, like this CapEx come down in 2028, 2029 based on that cadence of project spend? Thank you.
Kent Masters: Yeah. So yeah, I would say – I mean, you're right. We're not committed to it. So we will look, as things evolve and go, that's our best view. We put a five-year plan out there. That's our best view – the best view of what we'd be doing over five years. So – but any capital that we'll be investing in 2027 will be for 2031, 2032 market. And it's a pretty long way to be able to predict that from here. So it's – we don't want to go past that five-year forecast that we put out there. It could level off. I mean, it just depends on what the market looks like, and we'll know a lot more in five years' time than we do today. But any capital we're spending in 2027 is that's for 2032 or 2031, whatever the time frame is around that. And then it's important to note that, our CapEx program becomes more resource oriented. I mean, it will be – it's been conversion in the near-term, because we've had the resource. It will be more balanced between conversion and resource as we get out into that time frame.
Stephen Richardson: Thank you.
Operator: Thank you, Stephen. We have our next question comes from Christopher Parkinson from Mizuho. Christopher, your line is now open.
Christopher Parkinson: Great. Thank you so much. Can you just give a little bit more incremental information on how we should be thinking about the ramps at both Kemerton and Qinzhou, and whether or not there's any just very brief updated thought process on your additional capacity optionalities, especially in the United States through the balance of the decade? Thank you.
Kent Masters: Okay. So – and I guess, I mean, Qinzhou is operating, and it will ramp up. So there are make rights we have to do – we have to do there. So even we're operating today, we'll have to take it down to do those make rights to get additional volume, and there's a potential to expand at Qinzhou as well, but that's not a project that we're executing at the moment. So that's – we want to get up the speed and operating, but it's operating today, and we'll probably – it will ramp up over the next year, I think, to kind of the full capacity, acquisition capacity, which is around – we target at 25,000 tons. Kemerton is making product today, but we're not selling in the product because we need to get qualification from our customers. So we're – that's where we are. And then that will ramp over time – and we've – the strategy – originally, the strategy at Kemerton was to execute both train simultaneously. We've bifurcated that, because we struggled with labor during the pandemic and still, frankly, struggle with labor at Kemerton. So we're sequencing the commissioning and implementation. So Train 1 is operating and making product. Train 2 is not, and it's probably six months behind Train 1, I would say. And then that will ramp over time. We've always said, we ramp those projects, we planned those projects to ramp from start-up to full capacity over a two-year period. And I think that's probably the -- still the rule of thumb that we're following. And is there another part of the question?
Christopher Parkinson: Yeah. Just any updated thought process on your additional projects that you can assess specifically in the US over the next few years? Just any updated thoughts? That's all. Thank you.
Kent Masters: Yeah. So probably nothing new since the call a few weeks ago. So we're still looking at the site selection for a conversion facility to convert the Kings Mountain or Silver Peak, we've expanded and it's operating at that expansion rate, maybe a little bit more ramp-up to do at Silver Peak, but it's operating at that higher rate. And then the other would be Magnolia or -- and that is a little bit further out, but we're making progress there and planning that project, but we've not kicked it off from an FID standpoint yet.
Christopher Parkinson: Very helpful. Thank you so much.
Operator: Thank you, Christopher. And our last question comes from John Roberts from Credit Suisse. John, your line is now open.
John Roberts: Thank you. I think your guidance is based on the December 31st realized price, but I just want to clarify, the equity income within that guidance is based on price rising through the first quarter because of the lag and then for the remaining quarters of 2023, the equity income has a flat price after that lags recovered.
Scott Tozier: It's actually -- on the equity income, it actually goes up in the first half, through the first half. So -- and then we'll see volumetric increases out of that as well. So it actually increases through the year sequentially.
John Roberts: Okay. And then any update on the negotiations with Mineral Resources on the MARBL JV?
Kent Masters: So not a real update. Scott had said in his comments that we continue to talk with our partners and that we expect to be able to announce something soon, but nothing for today.
John Roberts: Okay. Thank you.
Operator: Thank you, John. Ladies and gentlemen, that's all the time we have for questions. I will now pass the floor back to Ken Master for closing remarks.
Kent Masters: Okay. Thank you. As you heard today and during our January webcast, we feel we have the right strategy, the operating model and the people to meet this opportunity and manage our business successfully to grow today and well into the future. So thank you for joining our call and your interest in Albemarle. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.